Operator: Good day and welcome to the Q4 2014 DSP Group Earnings Conference Call. Today’s conference is being recorded. At this time I would like to turn the conference over to Dror Levy. Please go ahead, sir.
Dror Levy: Thank you, Operator. Good morning ladies and gentlemen. I am Dror Levy, Chief Financial Officer of DSP Group. Welcome to our Q4 2014 Earnings Conference Call. On today’s call we also have with us Mr. Ofer Elyakim, Chief Executive Officer. Before we begin I would like to remind you that during this conference call we will be making forward-looking statements about our financial projections for Q1 2015; optimism about market opportunities for our new product line that should allow us to resume revenue growth in 2015; timetables for product ramp-ups and mass production of products incorporating our technologies by our customers; the ability of ULE and HD Clear technologies; optimism about our successful tender and an ability to meet key milestones and to enter new market domains and create new revenue streams. Actual results or trends could differ materially from our forecast including the impact of reductions in lead times and inventory levels by our customers and their customers; continued uncertainty in consumer demand for traditional cordless telephony products in our major end markets and the magnitude of decline in such markets; unexpected delays in commercial launch and production of new products incorporating our technologies; the growth of our new market verticals; our ability to manage operating expenses; our ability to secure additional design wins; and general market demands for products that incorporate our technologies in the market. We assume no obligation to update these forward-looking statements. For more information please refer to the risk factors discussed in our 2013 Form 10(k) and other SEC reports we have filed. Now I would like to turn the call over to Ofer Elyakim, our Chief Executive Officer. Ofer, the floor is yours.
Ofer Elyakim: Thank you, Dror. Good morning, everyone, and thank you for joining us today. I’m glad to open this discussion about our Q4 and full-year 2014 financial results. I hope that you’ve had the opportunity to read our press release that was released earlier today. I would like to begin this discussion by reviewing our results for Q4 2014 and then comment on the progression of our plans including design wins and recent market developments across our different product offerings. In a short while Dror will provide you with detailed comments on our financial results and update you on our outlook for Q1 2015. We’ve made significant progress in 2014 and have accomplished our strategic and financial milestones. As you know we have focused our attention on two key objectives: one, prudent execution focused on profitability; and two, monetization of our new product initiatives, thereby building a solid base for new revenue streams that will transition DSP Group back to growth territory. We have fully met these objectives in 2014 and more importantly we are on track for sustainable revenue growth this year and beyond. In addition our Q4 financial results exceeded our guidance in almost every financial metric. Q4 revenues of $37.2 million were well ahead of the midpoint of our guidance. Revenues for Q4 were up by approximately 5% versus Q4 2013 and up by 1% sequentially, propelled by solid demand for home gateway and voice over IP products. Our Q4 revenues marked the second consecutive quarter of revenue growth. The higher revenues combined with tight cost management and operating expenditures that were in line with the midpoint of our guidance resulted in non-GAAP operating profit of approximately $1.1 million or 3% of revenues. This represents our ninth consecutive quarter of non-GAAP operating profitability and the eleventh consecutive quarter of non-GAAP net profitability. Our cash and marketable security balance increased by $7.6 million to a level of $125.0 million at year end. The increase in our cash balance was mainly driven by strong cash flows from operations of approximately $6.6 million during Q4. Before moving to an update on each of our business segments I would like to highlight DSP Group’s current landscape and future momentum. Our leading market position in DECT has enabled us to continue to generate strong cash flows and profitability in spite of the maturity of the cordless market. Concurrently with maintaining our edge in our core business we have steadily reinvested our profits and resources in future growth, and have established three new product initiatives in Home, Office and Mobile. All three of these initiatives stem from our fundamental core competence in voice processing and short-range wireless communications. The success of these investments is apparent quarter after quarter, and growth from these new initiatives is already offsetting the revenue decline in cordless telephony and driving DSP Group back to revenue growth for the second consecutive quarter. We are confident in our growth prospects and we expect to build a leading market position in each of the three market segments, creating a stronger and more diversified DSP Group. We estimate that each of these three segments presents a revenue opportunity of at least $100 million, leaving plenty of room for future growth. Now I’d like to give you some specific updates about our progress in each of these segments, starting with the Home segment. Our Home segment includes mainly DECT SoCs used in cordless phones, home gateways, and ULE applications for the burgeoning IoT market. We’ll start with the DECT market, which during Q4 our DECT revenues accounted for approximately 83% of revenues versus 80% for Q3. DECT revenues were up both sequentially and year-over-year, growing by 4% and 3% respectively. The strength in DECT was mainly driven by solid demand for DECT products in the European end market and strong growth in home gateway revenues. Sales of our DECT products for the European and rest-of-the-world end markets were strong, up 12% sequentially and 3% year-over-year, and accounted for approximately 50% of revenues. Sales of DECT products for the North American end market showed stability and were up by 2% year-over-year, while down 6% sequentially. DECT 6.0 products for the North American end market accounted for approximately 32% of revenues. Turning to home gateways, we are encouraged by the continued momentum and growth in shipments for our DECT/CAT-iq SoCs for home gateways. The strong demand from major European- and US-based telecommunication operators continued in Q4, driving home gateways’ revenues to growth of about 51% year-over-year. During Q4 a leading European service provider successfully launched two new home gateway products both with our DECT/CAT-iq 2.0 SoCs. We are optimistic that the positive momentum we saw in Q4 and during 2014 will continue during 2015. Now, the main driver behind this growth is high definition voice, and a growing number of service providers are supporting high definition voice on their networks. And today more than 100 mobile operators have already launched high definition voice on their networks and they cover approximately 75 countries. We expect that the abundant support for high definition voice in mobile networks and the increasing number of voice over IP deployments will make high definition voice products the default voice quality standard. Moreover, high definition voice support is being gradually adopted in fixed line networks. Operators are upgrading their infrastructure and their home gateways to support HD voice and our DECT/CAT-iq solution is the preferred medium for that. DECT wirelessly distributes HD voice and covers an entire home or office, connecting between handsets and gateways to enable a reliable and robust end-to-end conversation in high definition voice quality. Turning to IoT, in less than two years the ULE line has attracted over 65 members and launched a comprehensive certification program in which members can submit their products for certification and place the ULE logo on certified devices, guaranteeing the quality, range and seamless operability with other ULE devices. We are encouraged by the market recognition and customer traction and adoption of ULE. The market is realizing the key attributes of DECT and ULE including high fidelity, superior range, two-way real time audio and video, and ultra-low power consumption which allows battery operated devices to last for years. We are happy to share with you that the major US service provider has selected our DECT/ULE technology for home security products, utilizing two-way voice. DECT/ULE naturally supports two-way voice and video, a feature which is in high demand for security, safety and well-being systems. The value of two-way voice [calls its home] between the interior location and the service provider or an emergency call by the push of a button is enormous. This design win is of major strategic importance for ULE as our technology was selected in spite of the incumbency and solid traction that other IoT technologies already have in the US market. We have also recently made a noteworthy announcement that Panasonic has selected our ULE SoC solution for its new and innovative series of smart home monitoring and control. The new systems from Panasonic consist of an over-the-top gateway, video surveillance cameras, window and door sensors, motion sensors and smart plugs with voice capabilities - all powered by DSP Group’s advanced ULE SoCs. During the quarter we also continued to expand our ecosystem and made our DECT/ULE available on several leading platforms. And earlier this month at CS, in which IoT took the central stage, we introduced several new, innovative solutions including one with sensoring for a voice-controlled IoT smartphone over DECT/ULE - enabling full home control using natural voice at very low power consumption. In addition, together with ProSyst we unveiled an OSGI framework with ULE support, enabling service providers to make use of existing and very popular OSGI-based gateways and launch ULE-based services and products at very fast time to market. In summary we are successfully progressing in a number of engagements and are well positioned to continue and grow our revenues and market position this year. Moving from the Home to the Office vertical, during Q4 we achieved another strategic milestone and secured our second tier one design win with another leading IP phone OEM - all based on our DVF99 SoC. This win demonstrates the attractiveness of our product portfolio and fit for tier one OEMs. Yet we remain well positioned to secure additional important tier one design wins this year. Q4 was another solid quarter for our VoIP and Office segment. Revenues were approximately $4 million and were at the higher end of our expectations, reflecting an increase of 74% year-over-year. For 2014, the Office/VoIP segment generated revenues of $14.3 million, reflecting an increase of 61% year-over-year. Looking forward we are very happy about our solid design pipeline and are well positioned for another year of strong growth in our Office/VoIP business. Moreover, based on our backlog and our own assessment we expect Q1 revenues to be in the range of $3 million to $4 million. In terms of revenue seasonality we do expect to see sequential growth in VoIP revenues throughout the year. Turning to the Mobile segment we’ve seen strong interest in low power voice processing, always-on voice functionality, and more sophisticated noise suppression requirements. And we are happy to inform you that during Q4 we entered the final phase of our design process, and our products are designed into smartphone models of the leading OEM customer. And we expect to commence shipments of our products to this OEM during Q2 this year, and more importantly we expect to generate meaningful revenues this year. We believe that voice and audio is destined to play an even bigger role in mobile devices as user interaction with mobile devices will start to evolve into more transformational signal processing, utilizing sensors, audio and smart algorithms into artificial intelligence - in essence connecting between a device’s brain to its five senses - to create intelligence and awareness. Almost every activity we perform in daily life produces sound and sensing patterns like speaking, washing, walking or typing, going to the restaurant, sitting in a meeting, etc., etc. The ability to perform such recognition via multi-sensory processing will significantly increase the value, intelligence and usability of mobile devices. And we believe that our DBMD2 and HD Clear algorithms can play an instrumental role in this evolution. Now, turning to our business outlook for Q1 of the year, based on forecasts received from our customers and backlog, in our own assessment we expect our revenue for Q1 to be in the range of $35 million to $39 million, implying a 13% year-over-year growth at the midpoint. In summary we are successfully executing on our financial and strategic objectives and have entered the vital phase of our transition - revenue growth. Thanks to the relentless efforts and hard work of our dedicated staff, DSPG is transitioning from a company with high dependency on and revenue concentration in cordless telephony to a company with diversified revenue streams derived from growing market segments. This transition should propel DSP Group to sustainable and solid growth this year and beyond, and to gradually drive operating leverage and our P&L, thereby improving our profitability. Now I’d like to turn the call over to Dror, our Chief Financial Officer. Dror, the floor is yours.
Dror Levy: Thank you, Ofer. I will now review the income statement for Q4 2014 from top to bottom. For each line item I will provide the US GAAP results as well as the equity-based compensation expenses included in that line item, and the expenses related to previous acquisitions. Our revenues for the quarter were $37.2 million. Gross margin for the quarter was 39.6%. Gross margin for the quarter included equity-based compensation expenses in the amount of $0.1 million. R&D expenses were $9.2 million, including equity-based compensation expenses in the amount of $0.5 million. Operating expenses for the quarter were $15.1 million including equity-based compensation expenses in the amount of $1.1 million and amortization of acquired intangible assets in the amount of $0.4 million. Our financial income for the quarter was $0.3 million. Income tax benefit for the quarter was $2.6 million including a tax benefit resulting from the amortization of the deferred tax liability related to intangible assets in the amount of $0.1 million. In addition the income tax benefit for the quarter included a reversal of a tax provision in the amount of $0.9 million related to a tax audit that was concluded during the quarter, and also included a tax income of $2.0 million resulting from a removal of a valuation allowance related to deferred tax assets. These tax assets represent the future utilization of previously written off tax advances and tax loss. Our net income was $2.7 million including equity-based compensation expenses of $1.2 million, amortization of intangible assets of $0.4 million and the tax benefit I just described in the total amount of $3.0 million. The non-GAAP net income excluding these items I just described was $1.3 million. GAAP diluted earnings per share was $0.12. Net of these impacts of equity-based compensation expenses the EPS was $0.05. The negative impact of amortization of acquired intangible assets on the EPS was $0.02. The positive impact of the tax benefits on the EPS was $0.13 and the non-GAAP diluted earnings per share, excluding these items that I’ve just described were $0.06 per share. Please see the current report on Form 8(k) that we filed with the SEC this morning for a full reconciliation of the non-GAAP presentation to the GAAP presentation. Now turning to the balance sheet, our accounts receivable decreased from $25.1 million at the end of Q3 to $20.3 million, representing a level of 49 days of sales. Inventory increased from $13.9 million at the end of Q3 to $15.6 million, representing a level of 63 days. Our cash and marketable securities increased by $7.6 million during Q4 and were at the level of $124.9 million at the end of December. Our cash and marketable securities position during the quarter was affected by the following items: $6.6 million cash was generated from operations; $0.3 million cash was used for purchase of property and equipment; and $1.2 million cash was received from exercises of equity awards by employees. When we look at the whole year 2014 our cash and marketable securities decreased by $2.7 million mainly due to the substantial buyback activity during the first three quarters of the year. Our cash and marketable securities position for the whole year was affected by the following items: $10.4 million cash was generated from operations; $1.3 million cash was used for purchase of property and equipment; $1.8 million of cash was received from exercises of stock options by employees; $12.5 million cash was used for buyback of approximately 1.4 million shares during the first three quarters of the year; and $1.1 million is the change in the value of the amortization of the marketable securities. Now I would like to provide you with our projections for Q1 2015. Our Q1 projections on a US GAAP basis including the impact of equity-based compensation expenses and acquisition-related amortization expenses are as follows: revenues are expected to be in the range of $35 million to $39 million. We expect our gross margin to be in the range of 40% to 41%. R&D expenses are expected to be in the range of $9 million to $10 million. Operating expenses are expected to be in the range of $14.5 million to $16.5 million. Financial income is expected to be approximately $0.3 million. Provision for income tax for Q1 is expected to be approximately $0.1 million, and number of shares outstanding is expected to be approximately 24 million shares. Our Q1 projections include approximately $0.3 million of amortization of intangible assets. Our Q1 projections also include the following amounts forecasted for equity-based compensation expenses: cost of goods sold includes approximately $0.1 million; R&D expenses includes $0.6 million to $0.8 million; and overall operating expenses includes $1.1 million to $1.3 million. And now we would like to open the line for questions and answers. Operator, please.
Operator: Thank you. (Operator instructions.) We will now take our first question from Charlie Anderson from Dougherty & Company. Please go ahead.
Charlie Anderson: Yes, thank you for taking my questions and congrats on the excellent quarter and guidance. I wanted to maybe start with the ULE design win, I thought that was very interesting, Ofer. You said it was a service provider in the US - if you can give us any added color on whether that’s a cable MSO, a security company, a telco. And then help us understand how the product will actually find its way into homes as far as what specific end devices, number of chips per home - just any added color on that would be helpful.
Ofer Elyakim: Sure, thank you Charlie. So the ULE design win that I mentioned is with a leading US-based telecommunications service provider - a telco that has today a service for a smart home and home security and safety. Our design comes into two-way voice, so these are going to be devices that are going to be part of the service that this service provider is introducing. And they’re going to be sold as one for every room in the home to the subscribers that are going to buy and subscribe to these services. And we do expect a rollout during the later part of this year, so kind of Q4, around that timeframe. It is especially encouraging because our initial thoughts were that the US service providers, or to say the US market was actually kind of closed to new technologies since Z-Wave, ZigBee, all kinds of proprietary technologies and others have basically already gained very nice traction in the US. And coming with a newer technology that was introduced less than two years ago for a market which already has incumbents would be a very significant uphill battle for us. But so far I think service providers are realizing the key benefits that ULE brings - the fact that it is on one hand an ultra-low power consumption type of IoT technology but on the other hand you can run anything, any type of media on ULE. You can get the range. It is pretty much self-installed. The devices can be mailed into every home - you save a lot on truck rolls, installation fees, repeaters, what have you, things that operators really don’t like. So I hope that that answers your question.
Charlie Anderson: Yeah. Maybe just a follow-up: will you be complementing another Z-Wave/ZigBee type of solution that’s already a part of the package or will you be fully replacing?
Ofer Elyakim: I believe that at first, in the first inning we are going to be part of a multi-technology type of service and I would say that later with the success of ULE migration well have more room to get a bigger share of those services.
Charlie Anderson: Okay, perfect. And then moving to mobile you mentioned sort of the late stages of qualification, I forget the exact terminology there but it sounds like you’re certainly confident in revenues starting to ramp in Q2. When you say ‘meaningful,’ I’m wondering if you can help define that one a little bit in terms of maybe just quantifying how many phones, or just anything else to sort of help us think about what that business could do in 2015.
Ofer Elyakim: Yes, thanks Charlie. So indeed the kind of qualification of the design is somewhat complicated but you know, from all matters and aspects I would say that most companies that are in the silicon business, the qualification of a design win is basically met. However in the new businesses, the new markets, new customers we try to be a little bit kind of more conservative in the way we define it as you know we’re just kind of entering the market. There could be a lot of unknowns that we are not foreseeing today, but we are confident that HD Clear is going to roll out this year, be in production. And right now our expectation is that Q2 of this year is going to be the timeframe at which we start shipments.
Charlie Anderson: And then last one from me is on the Q1 guidance you’re going to be, I think you said plus 13% year-over-year. VoIP’s at $3 million to $4 million so that suggests to me that maybe some upside is coming from some other places. I wonder if you can sort of give us some added color between DECT and ULE and gateway maybe where we’re seeing that pocket of strength.
Ofer Elyakim: So first right now DECT as you saw from our results is holding in pretty nicely, so we don’t see right now like a significant decline. I’m not indicating that that could not happen during the year but right now we think that DECT is holding in pretty stably. We are seeing good momentum and pretty solid growth from home gateway and we do expect home gateway to continue and grow this year with the driver of the high definition voice. And it is true that right now it will provide a pretty big range, between $3 million and $4 million - however this is kind of like our confidence in the backlog and how that will actually play into revenues. But we’re very confident in the revenues that we’re going to generate within voice over IP this year so they’re going to be strong. We’re going to see another year of very strong growth and we expect the tier one business that we announced in Q1 ’14 to actually be in production starting in Q2, so that will enable us to add another significant layer of revenues to the existing layers of revenues that we have in voice over IP. We have as we said a very nice pipeline of designs and customers that are going to be in production during the year, and as you heard we also said that we already won a second tier one OEM for enterprise phones. So we’re very, very confident in that. So just to summarize, in Q1 we are seeing strength in home gateway. Voice over IP is also pretty strong compared to Q1 2014 which was just a little bit above $2 million. Home gateway I said, so that kind of summarizes the growing aspects that are contributing to the guidance.
Charlie Anderson: Perfect, thank you so much.
Ofer Elyakim: Thank you.
Operator: We will now take our next question from Daniel Amir from Landenburg. Please go ahead.
Daniel Amir: Thanks a lot and congratulations on a good quarter here. A couple questions: first of all on the margins you guided here 40% to 41%. That’s obviously an uptick versus the past number of quarters. Is this a product mix issue that you’re now being able to ship higher products with better margins? Is it more stability in pricing that’s impacting this, and do you expect that this is kind of the new level that DSP Group will perform in terms of margins?
Ofer Elyakim: Hi Daniel, thanks for the question. So on the gross margins if you look into the performance that was achieved last year, so you can see that we were already at these types of levels - the 40% to 41%. It is an uptick from where we were at Q4 and the main kind of contributors to this uptick are both an HD stability but mainly, mainly is this kind of better product mix - our expectations for a better product mix.
Daniel Amir: And so going forward is this the new level of margins or is it what it was historically kind of in that 39% range?
Ofer Elyakim: I would say that we always said that we want to be at these types of revenues around 40%, so I would say 40%, 41% could be a good level for this year.
Daniel Amir: Okay, great. The second question related to R&D. You’ve seen some uptick here in R&D. Is this related to the mobile segment now that you’re entering kind of the final phase of design for this customer or is it related to some of the other activities? Just to get an idea at kind of this R&D level are you going into some sort of an investment mode here?
Ofer Elyakim: Yes, so on the R&D level, last quarter we already said that we are going to see an uptick in our investment and it’s really related to our confidence in our growth and in our ability to capture and seize the opportunities that we went after in 2014. And once we’re at that level of confidence what we want to do is to make sure that we’re not missing out on any future cycles. And as you know our R&D takes place but only two or three years later we actually see the results, so what we’re doing now is really kind of building the layers of products that are going to contribute in 2016 and ’17 in each of these market segments - whether it’s in mobile - in order to make sure that we have the right product portfolio to serve during those years and also in voice over IP enterprise as well as in ULE. And so I think the level of R&D expenses that you have seen in Q4 and that I think is pretty much in line also for Q1 should be kind of assumed… During the year of course there will be ups and downs as our expenses are not evenly throughout the year - they’re taped out, there are all kinds of NRE expenses that are expensed when we use these resources.
Daniel Amir: Okay. And then my last question is kind of related to the enterprise voice segment. So you have a second tier one design win here. I’m assuming that there’s a kind of high confidence level that you can get a third tier one design win here in the next couple quarters and basically control the market now that you will have basically all the major design win customers here?
Ofer Elyakim: Yes. So our pipeline and our expectation is that we will be successful in securing additional tier one design wins. We are expecting to expand our market footprint in the voice over IP domain. Today we’re really working on the 2016 revenues - these designs are going to mainly contribute in 2016, the tier one design wins that we announced now and ones that we will hopefully secure during this year. And that will enable us of course to expand our market footprint. We have a great product offering for this segment. Today I think we’re one of the kind of most dedicated and focused SoC vendors in that space. We’re not controlling the market, nor do we plan to control the market but we do plan to grow and become the market leader in this space. I think we have a great roadmap for our customers and I think what we want to see is that we continue and secure more and more business and really become that market leader.
Daniel Amir: Okay, great. Thanks a lot.
Ofer Elyakim: Thank you.
Operator: We will now take our next question with Rajvindra Gill from Needham & Company. Please go ahead.
Rajvindra Gill: Yes, thanks and congrats as well on good results. Just wondering if you can provide some color on the puts and takes with the gross margins both in the quarter and heading into 2015. I believe you said margins would remain at this level or slightly higher but could increase from the contribution of HD Clear or ULE, so I was wondering if you could talk about some of the puts and takes and kind of how to look at the long term gross margin trajectory.
Ofer Elyakim: Hi Raji, thank you. So with respect to gross margins, so if we look at 2014 we were at the level of about 40% on a non-GAAP basis. Looking at this year we are hoping to get some improvement in our gross margins as we expect this year to be a year of growth. As you know part of the expenses included in our cost of goods sold are fixed so any growth in revenues also improves our gross margins. As I told Daniel the gross margin improvement, our ability to sustain the level of 40% has to do a lot with some pricing stability; and on the other hand it also has to do with mix. So of course it is always very hard to fine tune either the 1% or the 50 basis points if gross margins are going to be higher or lower, but I do think that this should be or we expect these levels to become stable throughout the year. And I think that the contribution of the products, of the newer products are of course higher than our more mature businesses. But I do think that the year should kind of come in in line with the 40% to maybe 41%, somewhere in this range.
Rajvindra Gill: And could you provide maybe some details on the margin by product segment - which is kind of higher, lower?
Ofer Elyakim: Yes, so I think the way we’d like to segment it is that the newer businesses, meaning ULE, VoIP and also mobile should be higher than the gross margin average of the corporate. However of course gross margins will fluctuate and any entry into a domain must come at very competitive pricing which will of course then be kind of stabilized and improved throughout the cycle. But you know, generally speaking our new products - ULE, VoIP, HD Clear - should command a higher gross margin than the corporate average but that of course varies with entering a new customer or entering a new market and then stabilization, etc., etc. And just for the full picture, for the full year I do expect to see margins at that level - the 40%, maybe slightly higher than 40%.
Rajvindra Gill: And how would you look at OPEX as revenue ramps? It looks like it remained mostly flat throughout the year. You saw a slight uptick in Q4 particularly in R&D. Should we expect a similar trend in 2015? Should it be OPEX growing at sort of half the rate of revenue now that you’re entering into a period of growth, an inflection point so to speak? How should we look at the OPEX trend, and in Q4 what was the R&D uptick related to?
Ofer Elyakim: Yeah, so on R&D I think that you can take the Q4 run rate which was basically pretty much the run rate that we’ve guided to in Q1 and you can kind of take it across the year. I think that will kind of resemble the level at which we’re running. So this is kind of a small uptick compared to 2014. As I told Daniel we are today investing in our segments and especially the new product segments in order to make sure that we are well positioned to get a bigger piece of the market silos that we’re going after. And that will require of course us to invest. We have been executing very prudently on costs and have been taking costs down year after year, and I think 2014 was kind of a record low year in terms of OPEX. And now when we look at our growth segments and we see that we must be very competitive and offer all the right products for the future we are taking R&D of course very prudently and we’re going to examine it every quarter. We’re taking it slightly higher in order to make sure that we can seize these opportunities.
Rajvindra Gill: Great. That’s it for me. Thanks and great progress.
Ofer Elyakim: Thank you.
Operator: (Operator instructions.) We will now take our next question from Bob Sales with LMK Capital. Please go ahead.
Bob Sales: Hi, a couple questions - first of all nice quarter. Within the quarter, and I probably ask this every time I see you guys, but can you break down, repeat one more time the percentage of revenue that was DECT versus the gateway revenue which I think is still largely within that DECT category?
Ofer Elyakim: Hi Bob. Yes, you are correct. I will repeat the Q4 DECT revenues as a percent of sales. What we said is that DECT as a category including also home gateway inside was 83% of revenues. DECT Europe was 50% and DECT Europe actually includes also rest of the world, and DECT US - which is North America really - was 32%. And inside that there was also the home gateway revenues which last quarter we said we had about $12 million of home gateway revenues during this year. And this is included in the DECT revenues. We don’t segment the home gateways by the type of frequency. Of course we could do that but we just look at it as a category, as a separate category.
Bob Sales: So for the year DECT was somewhere in the neighborhood of the 80%-some level, and of that the gateway revenue was $12 million.
Ofer Elyakim: So for the full year 2014 DECT was $117 million or 82% of sales. Out of that DECT revenue home gateway was $12 million.
Bob Sales: Okay, got it. And then I’m just looking at Q4, and if I look at the VoIP was $4 million; the DECT revenue, if I’m doing the math right was like $31 million. What was the other revenue? There’s kind of like $2 million additional. What is that?
Ofer Elyakim: You’re correct. When we talk about our home revenues we say that it’s mostly DECT. We still have some other radio frequencies for cordless phones that are sold around the world from 2.4 gigahertz that is sold today in China and India, 5.8 gigahertz that is sold around the world, and many other types of legacy technologies that we are selling. And this is the additional $2.5 million in Q4.
Bob Sales: And that is not included in the DECT, right?
Ofer Elyakim: Yes, because these are not DECT. DECT is a frequency band in 1.7 and 1.9 - these are not DECT products.
Bob Sales: Yes, understood. It would be interesting perhaps next quarter to break down the DECT revenue between cordless and gateway but obviously at your discretion - it would be helpful for me at least. Within the mobile, I think the question was asked but now that you’re firmer in your design wins and you think you’ll have revenue in Q2, would you be willing to provide a range of what you think your mobile revenues could be for the full year?
Ofer Elyakim: Yeah. I would say, Bob, it is too early to specify precisely what the revenues are going to be but I can tell you from kind of a high-level perspective it could be around a few million dollars, so low- to mid-singles; and it could be higher than that. We are still doing all the preparations in terms of like getting all the right forecasts and basically kind of starting that, and I think that during the next quarter we should have a better picture on kind of how the year is going to be. But as you understand we expect meaningful, several millions of dollars at least.
Bob Sales: Understood. And then for the year your VoIP revenue was up very, very strongly, and I think so far you’ve said that Q1 will be $3 million to $4 million and then in Q2 you’ll have a new design win kicking in so you’d look for strong growth. Are you comfortable providing a range of growth for the VoIP revenue over the full year?
Ofer Elyakim: So we do expect our voice over IP revenues to grow strongly this year as it did also during 2014. So when we look at kind of how the year should shape up revenues should be in the area north of $20 million - between $20 million and I would say $25 million. This is kind of the range.
Bob Sales: Okay great, great, great. And then given that you’ve hit an inflection point in the business and are seeing growth on a full year basis, the question was asked about operating expenses but I’m curious whether you as a management team have defined internally what a goal for an operating margin might be at a certain revenue level or within a certain timeframe that will help us model the potential of the company given these new growth markets?
Ofer Elyakim: Yes, so we have related that. Actually you can find this information on our investor presentation deck which is on our website. But just to answer your question, so indeed we do plan to see operating leverage coming. We need to see higher revenues in order to get that leverage up. We would like to see gross margin improvement; we would like to see the operating margins which are now around kind of the mid-single digits go to mid-teens or could be higher - it really depends on the revenue’s run rate. We are today serving three growth segments - two of them are not even producing real revenues. So one of them just started production which is ULE; the other, mobile, should start production this year. We’re serving them today - no revenue is being achieved in order to kind of shelter these costs. So we do believe that DSP Group is destined for real operating leverage so what we need to do is bring in higher revenues. So if you know, hypothetically speaking, you put a $300 million type of revenue on the company I believe that we’re going to see substantial leverage on that number. And we alluded to some of the long-term abilities on how we see EPS go from where it is today at $0.30, the non-GAAP EPS into the future using let’s say a 15% type of operating margin.
Bob Sales: Perfect. Excellent job, thank you.
Operator: (Operator instructions.) As there are no further questions in the queue that will conclude today’s question-and-answer session. I would now like to turn you back to the host for any additional or closing remarks.
Dror Levy: Thank you. Thank you all for joining our call today and we look forward to reporting back again in 90 days. Thank you.
Operator: That will conclude today’s conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.